Operator: Greetings, and welcome to the Inter Parfums Second Quarter 2014 Conference Call. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to turn the conference over to your host, Russell Greenberg, Executive VP and CFO. Thank you, sir, you may begin.
Russell Greenberg: Thank you, operator. Good morning, and welcome to our 2014 second quarter conference call. Following the financial review, Jean Madar, our Chairman and CEO, will provide a business overview, and then we will move on to your questions. Before proceeding further, I want to remind listeners that this conference call may contain forward-looking statements, which involve known and unknown risks, uncertainties and other factors that may cause actual results to be materially different from projected results. These factors include, but are not limited to, the risks and uncertainties discussed under the headings Forward-looking Statements and Risk Factors in our Annual Report on Form 10-K and the reports we file from time to time with the Securities and Exchange Commission. We do not intend to and undertake no duty to update the information discussed. In addition, Regulation G, clarifications for the use of non-GAAP financial measures, prescribes the conditions for use of non-GAAP financial information in public disclosures. We believe that the presentation of the non-GAAP financial information included in this presentation is important supplemental measures of operating performance to investors because it provides readers with a more complete disclosure and facilitates a more accurate comparison of current results to historic results. The information required to be disclosed for the presentation of non-GAAP financial measures is disclosed in our June 30, 2014 quarterly report on Form 10-Q, which has been filed with the Securities and Exchange Commission. This information is available on our website at www.interparfumsinc.com. When we refer to our European-based operations, we are primarily talking about prestige fragrances conducted through our 73% owned French subsidiary, Inter Parfums SA. When we discuss our United States operations, we are primary referring to sales of prestige and specialty retail fragrance products, as well as travel amenities, all conducted through our wholly-owned domestic subsidiaries. I need to preface this financial overview with a bit of Inter Parfums history. In the 2012 fourth quarter, our Burberry license was terminated, and Burberry paid us a $239 million early termination fee. We also entered into a transition agreement with Burberry to operate certain aspects of the business during the first quarter of 2013. As a result, our 2013 reported first quarter sales, gross margin, operating margin and net margin were unusually high. And in last year's second quarter, the sale to Burberry of our remaining Burberry inventory depressed gross margins during that period. As we have now been doing for the past several reporting periods, when I speak about ongoing brand sales, I am excluding Burberry brand sales from the 2013 periods. So moving on to second quarter results. Net sales of ongoing brands, excluding Burberry brand sales, increased 22.1% to $118.2 million from $96.8 million. At comparison -- I'm sorry, at comparable foreign currency exchange rates, net sales of ongoing brands increased to 20%. Reported net sales of $118.2 million were 0.6% -- were up 0.6% compared with the $117.5 million reported in the 2013 quarter, which actually included Burberry brand sales. European-based operations generated sales of ongoing brands of $94.7 million, up 31.2% from $72.1 million. Sales by U.S.-based operations were $23.5 million compared to $24.7 million. Gross margin was 57.6% of net sales, up from 54.1% in the 2013 period. SG&A expense, as a percentage of sales, was 46.8% compared to 47.4%. Operating margin came in at 10.9% of net sales compared to 6.7% of net sales in the 2013 period. Net income attributable to Inter Parfums, Inc. was $6.1 million compared to $3.8 million, and basic and diluted earnings per share came in at $0.20 compared to $0.12 in 2013. We have reviewed sales drivers in our Q2 news release, so I will move on to other P&L points. Our blended gross profit margin was 57.6% of net sales, which is in line with our expectation, with the increase primarily due to the impact of the sale of the remaining Burberry inventory at cost to Burberry during the second quarter of 2013. Selling, general and administrative expense, as a percentage of net sales, was 46.8% or about $55.3 million, of which $20.3 million was attributable to promotion and advertising expense. As a basis for comparison, promotion and advertising expense aggregated 17% of sales for the 3 months ended June 30, 2014, as compared to 19% for the corresponding period of the prior year and as compared to only 12% for the 3 months ended March 31, 2014. I should point out that similar to last year, a significant portion of our 2014 advertising spend is budgeted for the final quarter of the year. Our financial position remains very strong. We entered the second half with $409 million in working capital, including approximately $275 million in cash, cash equivalents and short-term investments. And we had a working capital ratio of 5:1, as well as no long-term debt. Our 2014 sales guidance remains unchanged at approximately $495 million, and we recently narrowed the range for net income attributable to Inter Parfums, Inc. to $0.93 -- to a range of $0.93 to $0.95 per diluted share as we have greater visibility as we enter the second half of 2014. This guidance assumes the dollar remains at current levels. Jean, please continue.
Jean Madar: Well, thank you, Russ, and good morning, everyone. Once again, we appreciate your participation on today's conference call. As you will recall, 2014 first quarter sales of ongoing brands were 17% ahead of last year. In the second quarter of this year, the comparable period increase was 22%. Therefore, the full year-over-year sales increase of approximately 15% that we have inferred in our guidance appears to be quite achievable. We have also previously referenced our launch plans for the remainder of the year, including Jimmy Choo for men, our first men's scent for the brand, with advertising featuring Kit Harrington from Game of Thrones; S.T.Dupont, the new fragrances, one each for men and one for women from the S.T. Dupont brand. We're going to launch also a fragrance in the second half of Paris Saint-Germain under a partnership with S.T.Dupont and Paris Saint-Germain, Europe's premier football franchise, an elegant sporty men's fragrance line. We will also launch, later this year, Icon by Dunhill, which will initially be in very selective distribution, including Harrods, with a rollout to broader international distribution in 2015. We will also ship the Shanghai Tang collection of 9 new scents in a limited distribution, 50-or-so Shanghai Tang stores, which is to be followed by selective international distribution in 2015. Just one more content, new products. Our first newly created Agent Provocateur scent, called Fatale, is debuting at Saks this week, and we'll be selling in Agent Provocateur lingerie shop and also at the main counter. We'll be in 37 Saks locations, and we have a 6-month exclusivity in the U.S. with Saks. As we have reported, the fragrance will also launch at Agent Provocateur boutiques in the U.S. and worldwide. New product launch, while exciting and newsworthy, only tell a part of what we do. We continually enrich and enhance our existing brands and product portfolio by bringing extension to the market, sometimes our flankers, such as bebe Nouveau Chic, which flanks advance Nouveau collection. We also do special holiday sales and unique programs and packaging for travel retail. And sometimes we overhaul and refresh packaging as we are doing for our first diverse specialty retail program with Discover Collection from Banana Republic, which was launched in 2006. Of course, new products are extremely important to our business. We've talked about our 2015 plans, but to repeat, we will launch in 2015 our first Oscar de la Renta women's scents to come to the market next year, and we are looking at it as a spring debut. We have also men's scent in the works for Lanvin and Balmain; and women's scents for Montblanc and Van Cleef & Arpels; and one each men and women for Boucheron. We see in addition to the global rollout of the Dunhill Icon and the Shanghai Tang collection. Looking forward, I couldn't be more enthusiastic about our business, our growth opportunities and our business model. We've got a terrific brand portfolio, an extremely talented and driven team, a very strong financial position and a great track record of developing successful new products that enhance the brands of our fragrance partners and expand their brands' reach and global distribution. All of these factors make our company an attractive partner for the right brands. As we have said before, we are in the market for acquisitions, new license or partnership or other growth initiatives that may arise. But we are not dependent upon such transactions to grow our business. With that, operator, please open the lines for questions.
Operator: [Operator Instructions] And our first question comes from the line of Joe Altobello with Oppenheimer.
Joseph Altobello - Oppenheimer & Co. Inc., Research Division: First question, I want to go back to the guidance. Obviously, you mentioned that you recently revised it downward. I was trying to get a sense for why that was. I mean, are you guys seeing the need to spend more to drive growth? Or was it just more clarity, given that this is the first full year that you'll have without Burberry at this point?
Russell Greenberg: Yes, I think we -- it's clear that there's a little bit more clarity now that there's 6 months behind us through 2014, and that's really what it comes down to. We've never really given such a large range. I mean, even historically, I doubt that we even have -- in the past, even gave a range for per share earnings. This year, because of the fact that it is the first year for Burberry, we gave that range. And now that we have a little bit of history behind us and a little bit more visibility, it made sense for us to narrow in on that, and I think we'll continue to do that as the year goes on.
Joseph Altobello - Oppenheimer & Co. Inc., Research Division: Okay. So nothing has changed from an economic or competitive landscape?
Russell Greenberg: No. There really has been no -- nothing of any significance that really caused any change. We're still within the initial range that we started with during the year. We're just a little bit more focused on where we think we're going to end up. And as we gain more insight as to where we think we're going to end up, we think it's important to adjust our guidance to reflect that.
Joseph Altobello - Oppenheimer & Co. Inc., Research Division: Okay. And then that leads to my next question, which was, I think, 6 months ago, you guys mentioned that you thought that you could probably generate an additional $100 million to $150 million in sales without much in the way of incremental G&A. So where do we stand today on that sort of leverage opportunity now that we're 6 months into that process? I mean, do you still think there's that much leverage in the model? And how much additional sales could you generate on your current infrastructure?
Jean Madar: I can try to answer this one, but, of course, we'll see. No, we think that there is still a lot of leverage. We think that our team can absorb this year another $100 million. We have -- as you remember, after we finished with Burberry, we decided to keep mostly all the teams intact. So from a human point of view, we have the resource, we have the human resource to capture more sales with the same amount of employees. When it comes to -- this is for G&A. But from a selling point of view, Russ, maybe you want to talk about the advertising investment?
Russell Greenberg: Yes. Well, advertising is extremely important. Our advertising budget is a little bit higher today than it was historically. If you remember last year, at the end of 2013, advertising for ongoing brands aggregated approximately 22% overall. I think that in the past quarters, during these conference calls, we indicated that we're going to probably be somewhere around that 21% mark, give or take a few points. It's very consistent with where we ended up last year. But on the leverage question, the answer is yes. A lot of our business is variable, which is going to run with the increase in sales. But to the extent of the fixed expenditures, we can easily add on, as Jean indicated, $50 million or $100 million with very little increase in the G&A, if any. So we're just as comfortable with that today as we were when we mentioned it in the past, Joe.
Operator: And our next question comes from the line of Neely Tamminga with Piper Jaffray.
Neely J.N. Tamminga - Piper Jaffray Companies, Research Division: Jean, or for Russ. So in the vein of putting some of your cash to work, could you characterize maybe a little bit more explicitly some of your appetite for adding some additional new licenses and the timing in and around that? It sounds like there's some big players in this industry who are looking to kind of cull through some of their licenses overall in the fragrance land. And just wondering if the landscape looks even richer for you guys today versus maybe even a quarter ago? And maybe if you can also speak to is there a different types or size of license that you'd be willing to kind of take on?
Jean Madar: Russ, I mean, you can start if you want.
Russell Greenberg: Certainly. Neely, you're right. Recently, we have heard of several of our much larger competitors in this industry who are perhaps looking to divest in certain of their brands that they don't feel continue to be as strategic to them. As we have always in the past, we are certainly going to be actively involved in that process and have already made the necessary contacts in order to do that. We are -- with our cash position, we are actively pursuing quite a few different opportunities. The timing of any of them is absolutely impossible to tell because some deals may never happen, some deals could take 6 months to negotiate, some deals that we've done in the past could take over a year to negotiate. So it's very difficult to pinpoint timing, but I assure you that our appetite to get some things done is very strong. It's definitely there. We know that the best use for the cash that we have is if we can put it to use in our business with new opportunities to grow our business. We clearly know that, that is the most accretive use of that cash. So we are very, very -- we are being very opportunistic in order to do that.
Jean Madar: And I would like to add, if I may. I would like to add that this is really a perfect time for us to grow and to go to the next levels, not only because of almost $300 million of cash and no debt that we have in our balance sheet, but I think, also because we have, like I said before, all our people who even -- all the people that -- most of the people that we're working with Burberry in the teams, they are all waiting for the company to grow. And I think you're going to find very soon some opportunities. But I think it's also very important is that the company has an excellent reputation with potential new partners, and this is key because I think that they will like -- they like to see what we have done for the other brands in the portfolio. You should take, for instance, the example of Montblanc was not doing a lot before us, and we've been able to triple the business and still growing. And you saw the growth of Montblanc, I think, almost 80% in the first 6 months of this year, which is quite impressive. So we are able to revise some brands. We're able also to create new brands. So we are very optimistic that in the near future, new opportunities will happen.
Operator: And our next question comes from the line of Linda Bolton-Weiser with B. Riley & Co.
Linda Bolton-Weiser - B. Riley Caris, Research Division: So I think that maybe with your kind of narrowing the earnings guidance range to the lower end of the range but keeping the sales guidance the same, I think there could be some -- just concerns out there that somehow the sales guidance is at risk for the year, that, that would be the next step that you would take. Can you just comment on your confidence in the strength of the launch schedule for the rest of the year? And maybe give us some color on the ones that are really kind of maybe doing better than your expectations in terms of the launches that have occurred and then the ones that are only in line with your expectations. Give us some flavor for your confidence in that sales guidance number for the year.
Jean Madar: I can start, if you want, Russ, and you please correct me if I'm wrong. I hope I'm not wrong. What you've seen in the first 6 months is a strong growth from our European operation and a little decline or almost flat for the U.S., as you remember, Linda. We anticipate the next 6 months in the U.S. to be much better in terms of the growth. We're still looking at the growth of 10% -- around 10% in the U.S. So we are comfortable with -- I am personally comfortable with the sale, the guidance that we have given you. What is at risk? No, we have -- I would say that most of the launches -- all of the launches that we have are on time. We have already taken into account that the new Dunhill Icon will come very late in the year. Shanghai Tang also will come very late in the year. The Jimmy Choo Man is on time. No important launches are -- I'm okay with the vision. Russ, you want to add something?
Russell Greenberg: Yes. Just to really kind of reiterate a little bit. We're very comfortable with the guidance that we have out there on sales. If we weren't comfortable, we would've adjusted it or changed it. But the numbers that Jean had thrown out with respect to even the U.S. growth of 10%, that guidance reflects whatever our launch plan is currently. We know that our Dunhill fragrance is going to be a selective launch in 2014, and it's really geared for 2015; same thing with Shanghai Tang. That's all built into our guidance number. The launches that have already taken place and those that are yet to come on our European business are all on time, are all pretty much -- they're in the book already. We kind of know what our expectations are in the backlog of sales that we have. So the guidance that we have, $495 million for 2014, we are very confident in that figure.
Jean Madar: If the dollar remains, of course, at the current level, which is an important piece of the equation.
Russell Greenberg: Correct.
Linda Bolton-Weiser - B. Riley Caris, Research Division: Okay. Great. That's helpful. And then can I also ask just about your cash flow? Your operating cash flow in this first half is a little bit lower, more negative than last year, but you still should have pretty strong cash flow for the year, I would expect. So given that you're very eager to do a deal, are you leaning towards this kind of keeping your powder dry, so to speak? Or are you thinking toward another special cash dividend toward the end of the year? Or maybe you can give us some thoughts on that.
Russell Greenberg: Well, I think the -- so from a cash flow standpoint, most of the cash, especially the operating cash that was used, was really used in the first 3 months of the year. If you actually looked at the cash flow or the use of cash in the first 3 months versus the use of cash in the first 6 months, there's around a $15 million gain in the second quarter of the year. With that said, we do expect to be in a positive position as the year continues to go. We think that based upon our launch schedules, the inventory levels will probably come down a little bit. Receivables have been very, very consistent. So we're really not anticipating any significant change and, therefore, we should be in a positive position by the end of the year. There has been -- our board meets and if, in fact, they -- a dividend was declared or whatever, would've been previously announced. At this point in time, since there was no announcement, there is no intention at the current time, but our board meets every quarter. So we'll continue to evaluate. We'll continue to see what our cash needs are. We need to also take into consideration some of the activity that we're looking at from the acquisition side. We know we have plenty of cash, but we want to be as opportunistic as we can, and we want to be able to take advantage of those opportunities, if and when they arise.
Operator: And our next question comes from the line of Rommel Dionisio with Wedbush.
Rommel T. Dionisio - Wedbush Securities Inc., Research Division: Jean, I think you mentioned that Shanghai Tang would be initially in 50 stores in China and, eventually, be outside of China. Could you just talk about what the distribution platform will be outside of China? Will that be department stores or specialty retail or travel retail? Also, in what particular countries?
Jean Madar: Of course. Okay. Shanghai Tang, as you know, is the first and the only luxury brand from China. We signed this license agreement more than a year ago. And their products, we have created 5 products for women, 3 products for men. So it's a full collection that will go out at the end of the year. We will be launching in Shanghai Tang store in November. After that, we will expand, just after the November or December launch. We will expand to specialty stores, perfumeries, department stores in a selective way. For instance, Harrods in U.K. will be our partner for the launch of Shanghai Tang. And in Germany, for instance, we'll be presenting a selective -- a select number of doors at de Grasse. We have no plans yet for the U.S., even though some presentations have been made in America. But outside of Mainland China -- outside of Hong Kong and China, we're going to try to move to southeast of Asia with Singapore, Indonesia, wherever brand is very well known. For us, it's an important launch. We have permission that Peter Marino to do a fantastic advertising with a model, a superstar Chinese model. We think it's important for Inter Parfums to have the relationship with Shanghai Tang because it's the only luxury brand out of China. And if we do it right, we can -- we'll be happy in 2, 3, 4 years from now to have a solid business there in Mainland China. We will invest heavily in advertising in China in 2015.
Operator: And our next question comes from the line of Frank Camma with Sidoti.
Frank A. Camma - Sidoti & Company, LLC: Just a couple of quick questions. One, you had pretty strong results from every region, except for, obviously, Eastern Europe, which we understand what's going on there. Could you just give some commentary on Asian market? Was that just a lack of new brands? Was it -- is it a reflection of what's going on in the economy there? Can you just add some flavor to that?
Jean Madar: Russ, will you...
Russell Greenberg: Yes, certainly. When we talk about the Asian market, it's always a picture of a comparison from years past. As we look at 2014, our sales in Asia-Pacific were up slightly. They weren't down, but that growth rate is less than we have experienced in the past. And I think that, that's really kind of a trend that we've been experiencing over the last 2 or 3 years. However, that is a dynamic economy. We think that there's clearly going to be a turn from that in the Asian-Pacific economy. As Jean just mentioned, we're investing heavily with some of our brands, which are dominant in the Asia-Pacific region, brands such as Anna Sui and Shanghai Tang. So it's a matter of the economic situation that exists today. But we think it's going to be short-lived, and it's going to turn around for tomorrow. Jean, is there anything that...
Jean Madar: Yes, yes. I tend to agree. For us, we look at Shanghai, not from 1 quarter to another. It's a long, long -- it's a long vision that we have for the country. That's why we select in our portfolio the brands that have a good chance for success. Anna Sui, for instance, is in top 10 brands in China. Shanghai Tang is not in China, but the fragrance will be launching there. So our goal will be to make it to the top 20 to start and top 10 in the future. Yes, I think that with this region, we really have to take a longer return vision. Otherwise it will be difficult.
Frank A. Camma - Sidoti & Company, LLC: Sure, okay. Okay, great. Just specifically on Karl Lagerfeld. I know, initially, you launched that in kind of a limited distribution. Is that still limited distribution? Or like how -- where is that currently distributed today?
Jean Madar: No. We have a rollout -- we have rolled out Karl duo fragrance for men and women in the most important markets. We have some good success in Northern Europe and also Central, Eastern Europe. It's more difficult in the U.S. for sure, but we are on target with our budget with Karl.
Frank A. Camma - Sidoti & Company, LLC: Okay. You think that's more an indication of the U.S. consumer? Or I just -- to see your thoughts there, if any, there?
Jean Madar: Definitely, it's still difficult to say. Our launch in Macy's was strong. But for instance, we performed better when we launched Montblanc in the U.S. So we're on track. We have a good recognition in South America. We have -- we are starting to increase our distribution in Duty Free with Lagerfeld. And so we're confident.
Frank A. Camma - Sidoti & Company, LLC: Okay. Final question is just for Russ on the effective tax rate. It was high this quarter because of the dividend in France, correct? And could you just walk us through mechanically how that works?
Russell Greenberg: Yes. That's absolutely correct. The effect of the dividend was approximately -- the tax on the dividend was approximately $800,000 that hit our tax account -- or tax expense account during the second quarter. It is only a -- it only happens usually in the second quarter because it's a tax that is on the dividends that we distribute to our shareholders out of Europe, and that dividend is usually done once a year during the month of -- the very end of May.
Operator: [Operator Instructions] Our next question comes from the line of Joe Altobello with Oppenheimer.
Joseph Altobello - Oppenheimer & Co. Inc., Research Division: Just 2 quick follow-ups. I know you don't like to give quarterly guidance, but it would probably be helpful for us who are trying to build models here for the back half of the year. For you, Russ, first, would you expect sales to be up in the third quarter, given the strong base period you're comping against? And second, would you expect earnings to be positive in the fourth quarter, given that you lost $0.13 last year?
Russell Greenberg: I can't give sales guidance, the breaking out by quarter, because we just don't do that. We know -- you can pretty much infer what we're going to have for the rest of the year. But earnings, the one thing I can say about earnings is if you look at last year and you can see, as we see, that last year's fourth quarter was a loss. As I've mentioned in my prepared remarks for this conference call, that similar to last year, we anticipate that a significant portion of our yearly ad budget is going to occur in the fourth quarter of the year. If that follows suit with the prior year, there's a very good possibility that we will end up in a loss situation during the fourth quarter. So I think if you sharpen your pencils and look at your models and look at our actual results for the prior year -- also keep in mind that in the second -- in the third and the fourth quarter, you have no influence from Burberry anymore. That was finished. We had the transition period that occurred in the first quarter of 2013. We had the selloff of the inventory at cost in the second quarter of 2013. Now we walk into a more normalized ongoing brand comparison. It should be a little bit easier for you to adjust your models. I hope that helped.
Operator: And our next question comes from the line of Linda Bolton-Weiser with B. Riley & Co.
Linda Bolton-Weiser - B. Riley Caris, Research Division: Just -- I'm just trying to understand. The gross margin in the quarter was a little bit better than I would've expected, and it did increase from the first quarter level. Is that just a mix issue because the U.S. was down in sales, so it was mix? Or is there something else that made it better? And just wondering about third quarter because I know you ship in a lot of the gift sets for Christmas, and that kind of hurts the gross margin. So maybe you can help a little on that.
Russell Greenberg: Yes. The margin for the second quarter came in pretty much almost exactly as we had modeled. It's -- even on prior conference calls, we've talked about that margin of around 57%, maybe sometimes 58%. I also remember discussing in prior calls that the third quarter of the year margins are a little bit under pressure because of the fact that we're shipping a tremendous number of gift sets for the holiday season, which tend to be a little bit more expensive for us or a little bit less profitable from a margin standpoint. So with any quarter, we would expect the margins to be at the -- their lowest would be in the third quarter of the year. But overall, that blend coming in today at almost 58%, yes, there's a slight mix because of product, but nothing of all that significance, Linda.
Operator: And it seems that we have no further questions at this time. I'd like to turn the floor back to management for closing remarks.
Russell Greenberg: Thank you, operator. One last point, just to mention. I will be presenting at the Wedbush California Dreamin' Consumer Conference on September 23, which will be held in New York, and I hope to see some of you at this event. And again, thank you for your participation on this conference call, whether you are live on the call or listening via our webcast. If any of you have additional questions, as usual, I am available by phone. Thank you, and have a great day.
Operator: That concludes today's teleconference. You may disconnect your lines at this time. And thank you for your participation.